Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2012 eHealth Incorporated Earnings Conference Call. My name is Colby, and I will be your operator for today. [Operator Instructions] And as a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Kate Sidorovich, Vice President of Investor Relations. Please proceed, ma'am. 
Kate Sidorovich: Good afternoon, and thank you, all, for joining us today, either by phone or webcast, for the discussion about eHealth, Inc.'s first quarter 2012 financial results. On the call this afternoon, we will have Gary Lauer, eHealth's Chief Executive Officer; and Stuart Huizinga, eHealth's Chief Financial Officer. After management completes its remarks, we will open the line for questions.
 As a reminder, today's conference call is being recorded and webcast from the Investor Relations section of our website. A replay of this call will be available from the Investor Relations section of our website following the call.
 We will make forward-looking statements on this call. All statements other than statements of historical facts are forward-looking statements. The forward-looking statements we will make on this call will include plans and projections for our Medicare business; projected lifetime Medicare member commissions; the size and growth of the Medicare market; submitted application growth; anticipated benefits of our new shopping cart feature; the impact of healthcare reform and related rules; our plans and expectations with respect to healthcare reform, our addressable market and growth opportunities, seasonality and timing of our financial results; our investment in Medicare and guidance for revenue, EBITDA, non-GAAP diluted earnings per share and stock-based compensation.
 Forward-looking statements are subject to risks and uncertainties that could cause actual results, developments and business decisions to differ materially from those contemplated by these statements. We describe these and other risks and uncertainties in our annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC, which you may access through the SEC website or from the Investor Relations section of our website.
 Forward-looking statements made on this call represent the company's views as of today. You should not rely on these statements as representing our views in the future. We undertake no duty to update or revise any forward-looking statements made during this call, whether as a result of new information, future events or otherwise.
 We will be presenting certain financial measures from this call that will be considered non-GAAP under SEC Regulation G. For reconciliation of each non-GAAP financial measure to the most directly comparable GAAP financial measure, please refer to the information included in our press release and in our SEC filings, which can be found in the About Us section of our corporate website under the heading, Investor Relations.
 And at this point, I will turn the call over to Gary Lauer. 
Gary Lauer: Thanks, Kate. Good afternoon, and thank you, all, for joining us today as we review our first quarter 2012 results. Our strategy for the past 1.5 years has been to maintain leadership in our individual and family plan business, which has undergone much change; to invest for high growth in our new Medicare business; and to maintain operational flexibility in this fluid market environment. During the first quarter of 2012, we continued to execute against our strategic objectives and build momentum in our business, reflected by our revenues, EBITDA and earnings per share results.
 Based on our first quarter results and the results we are seeing in our fastest growing Medicare business, we are raising our 2012 annual revenue guidance. Stuart will provide our updated guidance later on during this call. 
 What I plan to do today is summarize our financial results for the first quarter, give you an update on our progress in building the Medicare business, discuss the performance in our individual and family planned business and make some comments about regulatory developments recently in the health insurance industry and marketplace.
 Revenue for the first quarter was $37.1 million, and earnings per share were $0.10. EBITDA was $6.6 million and cash flow from operations was $5.1 million. During the quarter, we completed our third $30 million share repurchase program and remained debt-free with over $116 million in cash and cash equivalents on the balance sheet.
 I'd like to note that we've reduced our outstanding share count by approximately 22% since late 2008 when the first repurchase program started. 
 Following a successful Annual Enrollment Period last year, our Medicare business continued to perform strongly during the first quarter of 2012. First quarter Medicare revenue was $6.5 million, a more than 180% increase year-over-year. We are well on our way to delivering the high double-digit growth in Medicare revenue for the full year that we discussed in our last earnings call.
 Close to 60% of the first quarter Medicare revenue came from broker commissions we earned, as compared to approximately 20% in the first quarter of 2011, reflecting our progress in transitioning to a direct fulfillment model. We keep getting better and more efficient at driving demand to our online Medicare properties and converting this demand into revenue-generating enrollments.
 During the quarter, we generated Medicare lead growth in excess of 100% compared to the first quarter last year and fulfilled in-house as a broker more than 80% of the demand that we generated. This compares to approximately 30% in the first quarter a year ago and represents a higher percentage than we'd originally planned. We are rapidly moving to fulfilling in-house all of our Medicare demand. 
 As a reminder, direct fulfillment is characterized by significantly higher lifetime revenue values and margin dollars compared with the sale of leads. The number of Medicare Advantage products sold during the quarter increased in excess of 450% year-over-year as we transact more business outside of the Annual Enrollment Period. This meaningful sales growth was driven by our ability to drive more demand through our diversified online marketing programs and to fulfill more of this demand in-house and by favorable demographic trends with over 3 million baby boomers turning 65 years of age this year. 
 Medicare Advantage products represented approximately 60% of total new Medicare enrollments during the first quarter with prescription drug and Medicare Supplement plans accounting for the remaining enrollments. We also saw a favorable trend in the -- our cost of acquisition in our Medicare business.
 Our individual and family plan business continued to stabilize with submitted applications declining 3% year-over-year compared to a 7% decline we observed in the fourth quarter and a 20% decline observed in the third quarter of 2011. The year-over-year decline in submitted applications was partially attributable to our redirecting some of our cost of acquisition spending from our individual and family plan business to our Medicare business during the quarter. We still expect to have flat to low single-digit growth in our individual and family plan submitted applications for the full year 2012. Individual and family plan approved members declined 1% compared to a 9% decline and a 19% decline observed in the fourth and third quarters of 2011, respectively.
 We continue to optimize our marketing spend in the individual business. Our cost of acquisition per submitted individual and family plan member posted another meaningful decline year-over-year, and is now at its lowest level in 4 years. In our individual and family plan business, we continue to innovate with the recent introducing -- introduction of a shopping cart tool. This new feature, launched in select markets, recommends to consumers additional insurance products that might provide benefits otherwise not covered by a major medical policy such as vision, dental and travel insurance.
 Consumers have an option to add several products to their shopping cart, similar to what they would do on amazon.com or other eCommerce sites and apply for these policies on a streamlined manner. We believe that the shopping cart tool provides additional value to consumers and has a potential for increasing our average transaction size. We also further expanded our offering by adding new ancillary product inventory. Our goal is to provide a comprehensive online shopping platform for all consumer health insurance and related needs.
 Now I'd like to make some comments on public policy. Of specific interest to us, Health and Human Services recently issued a rule or a regulation on state exchanges. As you know, pursuant to the Affordable Care Act in 2014, individuals with income below 400% of the federal poverty level will qualify for premium tax credits and cost-sharing subsidies to help them pay for their health insurance. This recent regulation addressed an ambiguity in the Affordable Care Act as to the ability of agents and brokers, such as eHealth, to assist individuals in enrolling into qualified health plans that individuals need to purchase to receive the premium tax credits and cost-sharing subsidies.
 The regulation makes it clear that states may elect to allow a subsidy-eligible individual to shop for a qualified health plan with an agent or a broker, as long as the agent or broker enters into an agreement with the state and meets other certain conditions. The regulation allows -- also allows states to permit individuals to use agents and broker websites such as eHealth's platform, as long as the website meets certain conditions and the subsidy eligibility and enrollment application is communicated to the state's health insurance exchange. 
 While there were additional details to be worked out with Health and Human Services, health insurance companies and the individual states, which are given the authority to implement specific rules for this process, this outcome appears to be consistent with what we had proposed and what we had hoped for. This is an important development for eHealth given that a meaningful percentage of currently uninsured Americans who will get coverage as a result of the Affordable Care Act are expected to be subsidy-eligible. Most importantly, we believe that proven entities like eHealth enrolling subsidy eligible individuals will only help to get more Americans coverage in 2014.
 Additionally, we are aware of the recent arguments made before the Supreme Court as to the constitutionality of the Affordable Care Act in certain aspects. While the outcome of the case is not expected to be released until June, we continue to operate and plan, presuming that the law will be upheld. At the same in time, we feel that our value proposition remains intact if all or part of the law is struck by the Supreme Court. Our addressable market, including Medicare and individual and family health insurance products, is very large, and we believe presents robust growth opportunities to us.
 Finally, I'd like to take this opportunity to introduce our new President and Chief Operating Officer, Bill Shaughnessy. We're very excited to have Bill join us. Bill has significant experience at leading execution efforts for large, globally diversified organizations in the Internet and digital media industries. Prior to joining eHealth, Bill served as the Senior Vice President of Product Management and Product Marketing at Yahoo! And before that, as Global Vice President of Sales, Marketing and Services for the Advertiser and Publisher Group at Microsoft. As eHealth grows and becomes a more complex company, we can truly benefit from his expertise. 
 Bill will be responsible for the overall management and execution of eHealth's day-to-day operations, including human resources, technology development, product management in the individual and family and medicare businesses. And this allows me to dedicate more time to strategic planning, our growth initiatives and public policy. 
 And now I'd like to turn the call to Stuart. Stuart? 
Stuart Huizinga: Thanks, Gary, and good afternoon, everyone. We're very pleased with our first quarter 2012 financial results, which demonstrate meaningful progress in our new Medicare business and continuing stabilization in our core individual and family plan business. 
 Based on the first quarter performance, we are raising our revenue guidance for the year. We also continue to forecast revenue and earnings per share growth for the full year 2012 as implied by the mid-point of our guidance ranges. I'll provide more information on our annual guidance in just a few moments, but first, let me review our financial results for the quarter.
 Starting at the top line, our first quarter 2012 revenue was $37.1 million, a 1% decline as compared to the first quarter a year ago. Underneath that, commission revenue in our individual and family plan business declined by more than $3 million year-over-year, driven by the impact of commission rate reductions that we experienced beginning in January of 2011 and which has been phasing into our results since that point. As a reminder, this reduction was related to the Medical Loss Ratio requirement of the Affordable Care Act.
 At the same time, our Medicare commission revenue grew by $3.5 million compared to Q1 2011, allowing us to more than offset the impact of lower IFP commissions. Our total commission revenue for the quarter was $31.5 million, an increase of 2% compared to the first quarter of 2011. Please note that we expect to see a further decline in IFP commission revenue throughout 2012 and then expect to resume revenue growth in our individual business in 2013. So starting in 2013, we expect to -- that both our Medicare and IFP businesses will drive revenue growth for the company. Other revenue, which includes sponsorship, eCommerce On-Demand, Government Systems and Medicare lead revenue was $5.6 million. This represented a 17% decline compared to the first quarter a year ago. The decline was driven primarily by lower Government Systems revenues. 
 In the first quarter of 2011, we booked over $2 million in revenues related to our work on the healthcare.gov project compared to a nominal amount booked under this contract in Q1 of 2012. Other revenue in the first quarter was also impacted by lower Medicare lead revenues as we transitioned more of our Medicare business to a commission-based, direct fulfillment model. Other revenue, combined with Medicare commission revenue, contributed approximately 26% of total revenue for the quarter compared to approximately 19% in Q1 2011, reflecting continued diversification of our business. Our individual and family major medical plan submitted application volume declined 3% compared to the first quarter of 2011. 
 As Gary mentioned, during the quarter, we continued to divert some of our marketing spend from the individual and family plan business to our Medicare business, impacting our IFP application activity. For the full year 2012, we continue to expect flat to low single-digit growth in IFP submitted applications compared to 2011. IFP-approved members were down 1% from Q1 2011, however, total approved members for all products were up 7% for the same period. 
 Our total estimated membership at the end of the quarter was approximately 848,600 members, which represents 6% growth over estimated membership reported at the end of the first quarter of 2011. The number of revenue-generating individual and family plan members declined 1%, while the number of other members increased 50%, our highest growth rate since we started reporting this metric. The increase in our Medicare customer base over the past 12 months was an important driver behind the strong annual growth in our non-IFP membership.
 Now I would like to review our operating expenses for the quarter. Excluding stock-based compensation and the amortization of acquired intangibles, our non-GAAP operating expenses increased as a percentage of revenue relative to the comparable period a year ago but declined in absolute terms. The increase in our operating expenses as a percentage of revenue was driven by our investment in Medicare as we continue to scale this new business. Compared to 2011, we are generating and fulfilling more demand for Medicare plans outside of the Medicare Annual Enrollment Period, resulting in higher spend in the marketing and advertising and customer care and enrollment areas related to Medicare.
 Medicare margins are also being impacted by our decisions the transition to a direct fulfillment model faster than originally planned. As Gary mentioned, in Q1 2012, we fulfilled in-house as a broker more than 80% of demand that we generated, up from approximately 30% in the first quarter a year ago. 
 The lifetime commission revenue and margin dollars that we project to generate by acting as a broker to a Medicare-eligible individual, are meaningfully higher compared to what we earned by referring the individual to one of our partners and generating lead revenue. At the same time, commissions that we earn for enrolling a member are spread over the life of this member, so the margin that we earn in the first year is lower compared to a lead referral model where we get paid a onetime upfront fee. The direct fulfillment model also requires that we expand the number of customer care representatives on staff.
 First quarter 2012 non-GAAP customer care and enrollment expense, which excludes stock-based compensation expense, was 16% of revenue, up from 14% in the first quarter a year ago due to the increase in our Medicare sales representatives. First quarter 2012 non-GAAP marketing and advertising expense, which excludes stock-based compensation expense, was 34% of revenue, the same percentage as in Q1 2011, and a sequential decline compared to 42% in Q4 2011. In general, our Medicare-related marketing expense is expected to peak in the fourth quarter each year due to the timing of the Medicare Annual Enrollment Period when we process the majority of enrollments.
 In the individual business, we continue to reduce our marketing spend, both on an aggregate and a per unit basis, relative to 2011. Our cost of acquisition measured as our total marketing and advertising expense, excluding Medicare costs, per individual on IFP-submitted applications, declined to its lowest level in 4 years. This represents a 7% decline from the first quarter a year ago.
 I'd like to note that despite an incremental investment in variable marketing and advertising and customer care and enrollment costs for Medicare of roughly $2.5 million in the first quarter of 2012 compared to Q1 2011, our total non-GAAP operating expenses actually declined year-over-year due to our cost reduction initiatives in the individual and family business.
 First quarter non-GAAP operating income, excluding stock-based compensation and the amortization of acquired intangibles, was 16% of revenue or $6 million, down from 17% of revenue or $6.3 million in the first quarter a year ago. EBITDA for the first quarter of 2012 was $6.6 million, as compared to EBITDA of $6.9 million in the first quarter of 2011. First quarter 2012 GAAP earnings per share were $0.10, up from $0.09 in Q1 of 2011. First quarter non-GAAP EPS, which excludes the impact of the amortization of acquired intangibles, stock-based compensation, and related income tax benefit was $0.17. 
 During the quarter, we continued to generate healthy cash flow. Our cash flow from operations was $5.1 million as compared to $6.8 million in the first quarter of 2011. Capital expenditures for the first quarter were approximately $200,000. As of March 31, 2012, our cash and marketable securities balance was $116.2 million with no debt. During Q1, we repurchased $8.4 million worth of our stock, completing our latest stock repurchase program totaling $30 million. Our average share price under the program was $13.78. 
 Now I'd like to comment on our guidance for the full year 2012. Based on information currently available, we are increasing our revenue guidance range and leaving unchanged our guidance for EBITDA, non-GAAP diluted EPS and stock-based compensation expense as compared to ranges provided on our last earnings call. 
 Our updated guidance for 2012 is as follows: We are now forecasting revenues for 2012 to be in the range of $152 million to $158 million, up from our prior guidance of $150 million to $156 million; we expect 2012 EBITDA to be in the range of $21 million to $26 million; non-GAAP diluted EPS for 2012, excluding stock-based compensation, amortization of intangibles and the estimated tax benefit of both, is expected to be in the range of $0.56 to $0.66 per share; stock-based compensation is expected to be approximately $6.5 million to $8 million.
 I'd like to note that based on the performance of our Medicare business and solid demand trends that we're observing in this market, we are planning to invest more in our Medicare business than we anticipated at the beginning of the year. Specifically, we want to further accelerate our move towards fulfilling 100% of our Medicare plan demand as a broker, which is an important part of our strategy and helps to maximize our future Medicare revenue stream.
 This will require an accelerated increase in our customer care resources and related infrastructure starting in the second quarter. As a result, we are not raising our 2012 EBITDA and EPS guidance ranges. We believe that this investment is prudent given our lifetime value projections for Medicare members. Currently, we expect that we will turn Medicare EBITDA positive for the fourth quarter of 2012 and the full year 2013.
 As discussed on our last earnings call, we expect that second quarter revenue will decline in the mid to high single-digit percentage range compared to the second quarter of 2011. We also expect that we will grow revenues in the third and fourth quarters compared to the third and fourth quarters of 2011. In the second quarter, our non-GAAP operating margin is expected to be in the low teens percentage range, below the levels observed in the first quarter of 2012, partially due to an expected increase in customer care and enrollment expenses.
 These comments are based on current indications from our business, which are subject to change at any time. We undertake no obligation to [indiscernible]. 
 And now we'd like to open up the call for questions. Operator? 
Operator: [Operator Instructions] Your first question comes from line of George Sutton of Craig-Hallum. 
George Sutton: So I wondered if you could walk through your thought process or what's taken place in the last quarter or so relative to your decision to increase the focus on Medicare and to an extent reduce some of the expense side on the IFP business? 
Gary Lauer: Hey George, this is Gary. Yes, I'll make some comments on that. In the individual and family plan business, which is still an important cash generator for us and is still a really vibrant market, we have just been working hard to continue to reduce the per unit cost of acquisition to levels that -- where we were several years ago, and we've achieved that. And we've also -- we think very substantially, been able to reduce the reductions that we've had in growth there. And as we indicated, we expect to be flat to actually grow that application volume a bit this year. On the Medicare side, it is such a compelling opportunity to us. We're seeing so much demand that's coming our way. As we noted, we're able to -- we're fulfilling more of this demand in-house than we had planned at this point, which we're really pleased with. The lifetime revenue value of this Medicare members is essentially greater than the individual and family plan members and the marketplace itself is -- the growth rate is actually increasing. So when we look at all of that, it's really, for us, it's pretty simple, that for every cost of acquisition dollar we have, we want to both economize and maximize on the return. And what we're seeing in the Medicare business certainly allows us to do that. In fact, quite frankly, our objective is to be that largest source of these Medicare products, at least, the largest private source in the marketplace. And we're working hard toward that right now. 
George Sutton: Okay, great. I don't know that you addressed it in your prepared comments, but the cash consideration paid to a partner in the book of business transferred, can you explain what that was? 
Stuart Huizinga: Yes, this is Stuart, George. We make an upfront payment in transferring some Medicare members over to our books, and we earn the renewal commission revenue on that. We make the payment upfront and then we amortize that to expense as we recognize the revenue, as we collect that over a multi-year period. 
Gary Lauer: And this is from a partner who we exclusively provide the leads and the demand, to. 
George Sutton: I understand, okay. All right, that's very helpful. Lastly, obviously, the MLR rate was changed with the new legislation. Is there any discussion, or would you have any anticipation that, that might change as a result of anything that might come down from the Supreme Court, or is that just way too early to? 
Gary Lauer: I think it's too early to know. There's so much a speculation and so much written and discussed about the Supreme Court. Will they invalidate any of this? Will they invalidate only the mandate? Will they invalidate the mandates and more than that? If they invalidate the mandate, is it such a lynchpin that the rest of the legislation collapses? There really is so many unknowns at this point. But again, we're just -- we're managing our business presuming that the -- it's the law of the land, and it's going to continue to be, and any changes -- we're certainly thinking through different scenarios on how to react to them. 
Operator: Your next question comes from the line of Robert Coolbrith with ThinkEquity. 
Robert Coolbrith: Just wondering, you delved a little bit into the HHS regulations which were recently introduced, clarifying some of the issues around the state healthcare exchanges. Could you maybe provide some more detail on what still needs to be clarified, specifically -- I mean, reading through the regulation that was issued, I didn't get a sense for whether or not there was a clear-cut, sort of bright line ruling on the commissionability of a subsidy. And I think you -- yes, that's probably at top-of-mind for people who are thinking about this opportunity. just any more detail on that in particular? 
Gary Lauer: Yes. Well there's some details still to be determined. For example, being a web-based entity, which is how we are regarded, we and others would have display all the plans that are on the state exchange. We believe that, that's going to be public use data file that we'll be able to simply get access to. So things -- small things like that, that we're finding at Health and Human Services. They're very cooperative, and seem to be quite eager to participate and to support. On the commissionability, that's all been left silent purposely because that continues to be a state-by-state regulated part of the business and will be. We fully expect that these subsidy-eligible plans, which are called qualified health plans, QHPs, will be commissionable and will be commissionable at least out of methodologies somewhere to the products that we sell today. What those commission rates are and so on, that certainly is still to be determined. But I would think that they wouldn't be markedly different than the other products that are in the marketplace as well. 
Robert Coolbrith: Great. And I'll just ask a follow-up as well. I just wanted to ask for a little more detail on the very strong growth in the Medicare Advantage products, just anything in particular that you're doing to drive that, or is it just a stronger entry in some markets, showing your presence in the market, and how does that play also into marketing expense? Is that a shift where you're now spending more to go after these potentially more valuable members, or is it -- any other additional detail or color you can offer on that? 
Gary Lauer: Well, I'm glad you asked about that because we're certainly pleased with the portion of the business that is Medicare Advantage, especially in this past quarter, 60%, as we noted. I think it's a number of things. Our presence in the marketplace, the way that we're marketing, I think the offerings that we have online, the way that people are able to interact with them, clearly, people in our call centers and so on. It's been noted by several other payers that over 25% of seniors now are actually enrolling in Medicare Advantage products, and we're obviously seeing a larger percentage than that. But we just think it's a number of things that may have something to do with the younger senior that's being attracted to us as well. So it's a combination of those things. From a cost of acquisition standpoint, it's exactly what we want because the Medicare Advantage lifetime revenue is the highest of all these Medicare products. So, on just a per dollar basis, obviously, what we're investing from a cost of acquisition standpoint has got a much more attractive return when it converts to being a Medicare Advantage product. 
Robert Coolbrith: Great. And one last follow up... 
Stuart Huizinga: I was just going to -- I was going to add a comment to that, that we are shifting funds to that direction, and I'm very pleased to see that our unit cost of acquisition is declining in Medicare at the same time. So while we're moving the funds there, they're even more effective, especially as our conversions get better. 
Robert Coolbrith: That's great. One last question. As Medicare advantage becomes more impactful for the company, what's your view on -- going back to ACA, some of the issues that were raised around Medicare Advantage, I guess they refer to them as overpayments. And just generally the federal government's sort of -- or, yes, the current administration's view or orientation towards Medicare Advantage and where you think that might go in the future? 
Gary Lauer: Well, we think that there's so many seniors on Medicare Advantage today and more coming on all the time that we think these continue to be really viable products and alternatives for seniors, and they're popular. From a commission standpoint, can only -- the only comment we can make is what we see and what we hear from our suppliers, the payers, which is that they're very eager for this Medicare Advantage business. It's really good business for them, and they're willing to certainly fund through a commission standpoint, a distribution vehicle like us, which is rather unique. So we feel really good about the future with Medicare Advantage. 
Operator: Your next question comes from the line of Corbin Woodhull with Janney. 
Corbin Woodhull: Sorry if I missed this earlier, but I was just wondering the number of Medicare members? I think the last we heard was about 45,000. And just an update on the forecast for growth in the Medicare business? I think you said in the call, it's going to be EBITDA profitable by the fourth quarter of 2012 -- or EBITDA positive by the fourth quarter 2012 and a profitable business by 2013? 
Stuart Huizinga: That's correct. Those are the statements I made about EBITDA. As far as members are concerned, we're a little bit higher now than that number that you just mentioned, the 45,000 enrolled members. Those are members, which we've either had revenue recognized in the past or will have future revenues recognized related to some of these members transferred that I mentioned earlier in the call. We're fairly close to that number at March 31, in that -- the last time we put out a number, it was as of February 15. So it's that number plus what we've sold in the last month and a half of the quarter. 
Corbin Woodhull: And you said Medicare Advantage is up 450%? 
Stuart Huizinga: Correct, yes. Our sales, approved members in the quarter year-over-year are up 450%. 
Gary Lauer: Yes, we're still -- again, we're seeing very attractive growth rates here, and again, that's why we're investing in this business. 
Operator: [Operator Instructions] At this time, there are no further questions appearing in the queue, so I will now turn over the call to Mr. Gary Lauer, CEO, for closing remarks. Please proceed, sir. 
Gary Lauer: Well, thank you. I'd just like to thank everybody for your time today, and we look forward to speaking with many of you individually as well. Thanks. 
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.